Operator: Good morning, and welcome to Vireo Growth Inc's. Fourth Quarter and Full Year 2024 Results Call. The company would like to remind everyone that today's conference call may contain forward-looking statements within the meaning of U.S. and Canadian securities laws. These statements are based on management's current expectations and involve risks and uncertainties that could differ materially from actual events and those described in such forward-looking statements. For more information on our forward-looking statements, please refer to cautionary note regarding forward-looking statements in the company's earnings release. I will now hand the call over to Chief Executive Officer, John Mazarakis. Please go ahead, sir.
John Mazarakis: Thank you. Good morning, everyone. I'll begin with a summary of our performance and recent business highlights, and then Tyson will provide some extra details on the financials and our balance sheet. Our fourth quarter results reflected continued strength in fundamental operating performance, and we were pleased to deliver record revenue, gross margin and operating income for the full year. Total revenue for the full year increased 15.4% year-over-year to a record of approximately $100 million, driven by 56% growth in Maryland as well as low single-digit growth in Minnesota. Fourth quarter revenue increased 3.5% year-over-year to $25 million. Q4 sales were sequentially consistent as expected, and we ended the year in a very strong financial position with $91.6 million in cash on our balance sheet following the closing of our previously announced and oversubscribed $81 million private placement in December, which was completed at a substantial premium to market. We believe the strength of our balance sheet, combined with our pending merger transactions and the growth investments we're making in Minnesota and New York position the company for what we believe will be a transformational year in 2025. For those of you who were not able to attend our merger transaction conference call in December, please refer to the merger transaction presentation on our investor website for a more complete picture of these transformative events. We are seeking to build a portfolio of prolific brands in cannabis, and we believe the combination of these platforms and leaders with Vireo creates a highly attractive platform for growth that will generate significant value for all of our stakeholders. We anticipate that each of our fully executed merger transactions will close in 2025, pending regulatory and shareholder approvals. We will provide investors with updates on the closing process as more information becomes available. For now, the next step is to file and distribute an information circular and solicit shareholder approval, which we expect to occur early in the second quarter. Before I hand the call over to Tyson, I'd like to provide more information about some growth investments we're making to drive success in various legacy markets. Our team has been building inventory in Minnesota to prepare for the launch of adult-use sales, and we're in the process of relocating our Moorhead dispensary to a larger storefront and parking lot. However, a more important aspect of adult-use preparedness is the availability of premium flower. And during the month of December, we made significant progress to ensure that Vireo's operations will compete effectively in Minnesota's adult-use market. We have since secured two separate financial commitments to fund the build-out of a new state-of-the-art indoor cultivation facility in an existing 130,000 square foot industrial building in the town of Elk River, Minnesota. One of these commitments is in the form of a commercial loan from Stearns Bank for a principal amount of up to $15 million and a term of 24 months at a fixed annual rate of 9.25%. The second is an incremental $11.5 million in debt capacity from our existing lender, which carries an annual fixed rate of 10.5%. Now moving on to New York. The New York market has recently become one of the higher-growth legal U.S. cannabis market. As store counts have continued to steadily increase and the state has cracked down on illicit operations, allowing for a more robust regulated market, and we believe the state continues to lack an adequate supply of premium indoor flower. Vireo's flagship Bluebird facility in Johnstown, is a state-of-the-art cultivation and processing facility that focuses on producing top-tier cannabis flower. We anticipate that recent initiatives to increase premium flower production in Johnstown, New York will begin contributing meaningfully to financial performance during the second quarter. I'll now hand over the call to Tyson.
Tyson Macdonald: Thank you, John, and thanks to everyone for joining us. I'll run through a quick summary of key income statement line items and then review our balance sheet in more detail. Total revenue was $99.4 million for the full year, an increase of 15.4% as compared to 2023, excluding discontinued operations, driven primarily by performance in the Maryland market and single-digit sales growth in Minnesota, offset partially by the declines in New York from our medical-only dispensaries. Fourth quarter revenue of $25 million increased 3.5% year-over-year. It was roughly flat sequentially across all markets. For a complete review of our revenue performance by state and sales channel for both the quarter and full year, please refer to the accompanying market sales tables in today's earnings release, which will also be filed with our 10-K later today. We saw continued improvements in margin performance as we delivered record gross margin for the full year of 51.1%, driving margin expansion in both the fourth quarter and full year as compared to the prior year periods. The increase in margin was driven primarily by the disposition of our former operations in New Mexico in June of 2023, which carried a lower margin profile as well as the commencement of adult-use sales in Maryland on July 1, 2023. SG&A expenses as a percent of sales improved by roughly 380 basis points for the full year and increased 140 basis points in the fourth quarter as a result of some Elk River facility and legal expenses. As John mentioned, operating income of $13.6 million for the full year was a record for the company. Fourth quarter operating income was impacted by onetime transaction expenses of $4.2 million related to our pending merger transactions, which were announced in mid-December. Excluding these impacts, operating income would have been approximately $3.4 million during the fourth quarter. Total other expenses for the year was $30.5 million, an increase of $2.1 million compared to other expenses of $28.4 million in 2023. The increase in other expenses is primarily attributable to a decrease in other income associated with the ERC tax credit under the CARES Act and a decrease in other income associated with the Grown Rogue held warrants. Net loss for the year was $28 million, compared to $25.5 million in 2023, with the variance driven primarily by the increase in income from operations, offset by increased other expenses and taxes. Net loss in the fourth quarter was $15.7 million, compared to $4.6 million in 2023, with the variance driven by the onetime transaction expenses of $4.5 million, increased stock-based compensation, other expenses and taxes. Excluding New York assets held for sale, total current assets at the end of fiscal 2024 were $133.8 million, and we ended the year with cash on hand of $91.6 million following the closing of our oversubscribed $81 million private placement in December. Excluding New York liabilities held for sale, total current liabilities at the end of the year were $46.1 million with current debt of $900,000. We had $61.4 million of long-term debt outstanding, which matures in early 2027. Following the issuance of subordinate voting shares of relationship to the recently closed $81 million private placement, as of March 1, 2025, the Company had a total of 413,859,367 shares outstanding on a treasury method basis using a share price of $0.42. While we're not providing specific CapEx guidance for 2025 on today's call, we are prioritizing capital deployment to drive high returns for shareholders with a focus on our highest growth opportunities in New York and Minnesota. We are very pleased to close the year on a strong financial position and remain focused on driving strong returns for shareholders. We believe our liquidity position will help support improved access to capital in the future, we expect to remain both patient and opportunistic as we look to continue innovating and investing in growth opportunities in our pipeline. That concludes my prepared remarks. I'll now hand the call back to John for some closing comments.
John Mazarakis: Thank you, Tyson. To summarize, we believe our merger transactions, combined with growth investments and the launch of adult-use sales in Minnesota position us for a transformational year in 2025. This is an increasingly exciting time for Vireo and all of its stakeholders. By combining our efforts with other leading local operators and a highly differentiated technology platform, we're creating a premier portfolio of prolific brands and a diversified cannabis company that is poised for growth and industry leadership. Thank you for joining us today. Now we will be pleased to take your questions. Operator?
Operator: [Operator Instructions] Your first question comes from the line of Eric Des Lauriers with Craig-Hallum Capital Group. Please go ahead.
Eric Des Lauriers: Great. Thanks for taking my questions and congrats on the progress thus far.
John Mazarakis: Thank you, Eric. Good morning.
Eric Des Lauriers: A couple of clarifying questions from me on Minnesota. So first, could you just expand a bit on what you've done in December to improve flower quality there?
John Mazarakis: We secured the 130,000 square foot facility and we've begun building it out.
Eric Des Lauriers: Got you. Okay. And then in terms of the existing facility, when all is said and done with this new facility, should we expect you guys to hold on to both of these maybe for different production uses? Or will this be sort of a complete switch over to this new indoor facility?
John Mazarakis: We will make that determination based on demand in the state.
Eric Des Lauriers: Okay. And then just the time line for that new facility? When do you expect that...
John Mazarakis: It will be done within 2025.
Eric Des Lauriers: Okay. Great. And this is a bit of a difficult question to answer, but just wondering if you have any insight on the timing for adult use in Minnesota or any other kind of comments there?
John Mazarakis: It will definitely happen within 2025.
Eric Des Lauriers: Right. Switching to New York. I'm just kind of wondering if you can give us an update on how you're thinking about your assets in this state. Obviously, they are sort of held for sale. Just wondering how much of a focus selling this asset is, given the other transformative acquisitions you have going. I think you mentioned this is an area where you're continuing to put in capital where it makes sense. So just wondering how you're thinking about that overall? I mean, is this still for sale? Is this something that you're maybe reconsidering and holding on to this long term? Just any update on your thinking there would be helpful.
John Mazarakis: We're still planning on divesting a portion of New York, which is why we're holding it for sale. At the same time, we think that there's an opportunity on the high-end spectrum of flower, and we're positioning the asset to produce at that level.
Eric Des Lauriers: Okay. And then just last question for me on the acquisitions. What kind of operational milestones are you monitoring in the target companies? What should investors be aware of, I guess, to know if these operations are sort of on track or up to par while the team is focused on closing these acquisitions here?
John Mazarakis: Well, the key here is to understand the structure. There is an earn-out and a clawback. And the clawback ensures that the metrics of EBITDA are what we announced back in December. At the same time, of course, we care about maximizing the EBITDA and cash flow of every operation. So we're working closely with the operators to ensure present and future growth.
Eric Des Lauriers: All right. That's helpful. Thanks for taking my questions.
John Mazarakis: Thank you.
Operator: [Operator Instructions] As there are no further questions, this concludes today's Q&A session and today's conference call. Thank you all for participating. You may now disconnect.